Operator: Greetings, and welcome to Eagle Point Credit Company’s First Quarter 2020 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded.It is now my pleasure to turn the conference over to your host, Mr. Garrett Edson with ICR. Thank you. You may begin.
Garrett Edson: Thank you, Rob, and good morning. By now, everyone should have access to our earnings announcement and investor presentation, which was released prior to this call, which may also be found on our Web site at eaglepointcreditcompany.com.Before we begin our formal remarks, we need to remind everyone that matters discussed on this call include forward-looking statements of projected financial information that involve risks and uncertainties that may cause the company's actual results to differ materially from those projected in such forward-looking statements and projected financial information.For further information on factors that could impact the company and the statements and projections contained herein, please refer to the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. A replay of this call can be accessed for 30 days via the company's Web site, eaglepointcreditcompany.com.Earlier today, we filed our first quarter 2020 financial statements and our first quarter investor presentation with the Securities and Exchange Commission. These materials are also available on the company’s Web site. Financial statements can be found by following the Financial Statements and Reports link and the investor presentation can be found by following the Presentations & Events link.I would now like to introduce Tom Majewski, Chief Executive Officer of Eagle Point Credit Company.
Tom Majewski: Thank you, Garrett, and welcome everyone to Eagle Point Credit Company's first quarter earnings call. If you haven't done so already, we invite you to download our investor presentation from our Web site, which provides additional information about the company, including about our portfolio and underlying corporate loan obligors.For today’s call, I’ll provide some high-level commentary on the first quarter and recent events and then turn the call over to Ken who will walk us through the first quarter financials in more detail. I'll then return to talk a bit more about the macro environment, our strategy and provide some updates on our recent activity. And, of course, we will open the call to questions from participants.Before we begin, we certainly hope that you and all of your families continue to remain safe and healthy during these quite challenging times. I also especially want to thank our entire Eagle Point team and note how proud I am of them.Our team has been working incredibly hard over the past two months and done an absolute tremendous job as our operations have transitioned to a 100% remote environment. As a result, we’ve been able to consistently and proactively manage our portfolio of CLO security for what has been a very challenging economic environment.When we last spoke to you in late February, COVID-19 was a serious concern in the market but there were at that point relatively few cases reported in the United States. When we looked back to past pandemics; SARS, MERS, Ebola, among others, while many people in certain regions of the world were impacted by these illnesses, the United States was fortunate to have largely been spared.This time as we know, nearly everyone around the globe has been impacted by the COVID-19 pandemic, including the United States. The lockdowns and economic reaction was sudden and at times unforgiving as we headed into an immediate recession and are now just beginning the long process of reopening the domestic and global economies.We went into the pandemic with cash on our balance sheet, leverage within our targeted band and no short-term financing maturities. While we did not specifically predict the COVID-19 pandemic, our management team has been at this long enough to know how to manage the company anticipating that there would be bouts of extreme volatility from time to time.The prudent approach that we used to managing the company allowed us to be on the offense during the time when others were for sellers. When we evaluate how our portfolio is doing today, our investments are performing in line generally with how we would expect in such a market.Overall, despite the severe drop in loan prices in March, March was one of the worst months on record in the loan market and rapid downgrades from the rating agencies in late March and early April of the vast majority of our portfolio of securities continues to make payments as scheduled in April.We’ve had cash on our balance sheet available to invest at all times this year. The company has remained in compliance with its applicable 1940 Act coverage limits on all measurement dates. To put things more simply, in a market like this, when we look at both the left side – left and right sides of our balance sheet, we see what we’d like to see.During the first quarter, the company received recurring cash flows from our portfolio of $0.90 per weighted average common share, our net investment income and realized capital losses were $0.33 per common share. So far in the second quarter, through May 14, we received recurring cash flows from our portfolio of $20.1 million with a few investments scheduled to pay later in the quarter.We’ve discussed on repeated occasions that when determining our common distribution level, besides GAAP earnings, we also evaluate the cash flow we receive from our investments and the estimates for taxable income during each year. We’ve consistently highlighted that it is taxable income that sets a functional floor on our common distribution.As the economic environment became increasingly challenged, our advisor and Board comprehensively reviewed the level of our monthly distribution against the backdrop of what we expect taxable income, GAAP income and cash flows to be for the foreseeable future. We also considered the benefit of growing our cash balance to allow the company to continue to be on the offense in these volatile markets.After careful deliberation, we made the prudent decision in light of the ongoing COVID-19 pandemic to adjust our monthly common distributions to $0.08 per share for the second quarter of 2020 as the monthly distribution. And earlier this month, we declared common distributions for the third quarter $0.08 per month effective for the third quarter.Despite the extreme price movements over the past couple of months for CLO securities, the vast majority of CLOs outstanding have continued to make payments as scheduled. According to research from Deutsche Bank, 84% of CLOs that were scheduled to make payments in April did so.In our equity portfolio, roughly 92% weighted by the value of our holdings of our portfolio that were scheduled to make payments in April paid as scheduled. The principal reason for this small percentage of CLOs in our portfolio who are not making payments was an increase in CCC rated loans within those portfolios.Indeed, beginning in late March, the rating agencies took a very rapid action and downgraded or placed on negative watch almost a quarter of all corporate loans outstanding, some of the downgrade from multiple notches. I don't believe there has been such a rapid and far-reaching set of rating actions in the loan market ever before.To make matters worse, many of these actions were taken just as CLOs were reaching their quarterly payment determination dates. And that sort of bakes the question, how do these downgrades impact us? Once a CLO’s concentration of CCC rated loans exceed 7.5%, in a typical CLO a portion over 7.5% requires a temporary haircut in the numerator of a CLO's overcollateralization test.If a lot of loans get downgraded, which is what happened earlier this year, we could end up with more than 7.5% CCC in some of our CLOs. If the haircut or CCC rated loans gets too big, the CLO could temporarily sell their OC test and distribution of interest that would normally be paid to the equity get diverted to repay senior debt within the CLO.While we prefer that our CLOs continue to make equity distribution, if a CLO is failing at the OC test, the only substantive consequence to us is the use of what would have been our distribution to instead repay senior debt on that payment date.When an OC test is failing, a CLO does not go into any sort of lockup mode nor are there required forced sales of loans. For CLOs in the reinvestment period, which nearly all of our holdings are, the collateral managers can continue to actively manage the CLOs portfolios even if OC test are failing.While the price of loans has fallen and CCCs have increased, the trailing 12-month default rate for syndicated loans has moved up less than 1% at the end of April versus where it stood at the end of 2019.Quite a few of the companies that defaulted recently, frankly, were companies that many considered to be near default even prior to COVID-19. Much of the market, including us, anticipates a further increase in corporate defaults in the months ahead.When evaluating a CLO, however, the loan default rate is only part of the equation. Equally importantly are the loan repayment rates and the reinvestment opportunities set. Indeed, since the onset of COVID-19, billions and billions of dollars of syndicated loans continue to be repaid in full or in part at par.CLO collateral managers can take those par dollars and reinvest them in loans at discounted prices which are available today. In markets like these, they can also easily make par building trades, selling one loan and buying a different loan at a lower price that they perhaps consider to be mispriced or misunderstood by the market.We believe that the low cost of financing embedded in CLOs and the value of the reinvestment period is undervalued by many in the CLO market. Indeed, across our CLO equity portfolio, the weighted average senior AAA spread is approximately 117 basis points over LIBOR.To help quantify just how in the money that is, as of May 19, the JPM CLOIE Index indicates that the market spread or discount margin, as the technical term, for AAA is 198 basis points over LIBOR. So our CLOs AAA are roughly 81 basis points in the money today.The financing provided by the AAAs in other deck classes and our CLOs do not have mark-to-market triggers. That means that if the price of loans fall, which they have, the holders of our CLO debt can't demand that we put in more equity capital or force our CLOs to sell loans simply based on the price of the performing loans.At quarter end, our equity portfolio's weighted average remaining reinvestment period stood at 2.9 years. This allows our CLOs to continue to be on the offense during these challenging markets.We are in a very challenging and volatile environment, but we believe the market does not fully appreciate the value of the right side of our CLO equity portfolio’s balance sheet. We believe our portfolio can withstand a prolonged recession and likely thrive in it. This is not because we’re blind to default, but because we better appreciate the value that can be created for reinvestment.Members of our team have been through difficult market environments before, the 2000 to 2002 telecom cycle, the 2008 financial crisis and several other many cycles in between. Past performance is obviously not a guarantee of future results, but there are important distinctions between the economic situation then and now.Nevertheless, as we look back on what occurred in the '08, '09 cycle, CLO equity saw a 57% drawdown during the worst of the crisis in 2008. But for the ensuing three-year period from 2009 to 2011, CLO equity generated an IRR of nearly 80% well above the returns from many other asset classes.Further, our company's cash position and long-term oriented balance sheet has allowed us to be on the offense in this volatile market. Over the past few weeks, we have been able to make acquisitions of both majority and minority equity at very attractive levels. You’ll see these appear in our Q1 portfolio and additional investments which will appear in future quarterly schedules of investments.To provide a few other brief updates, our NAV fell to $6.12 a share as of March 31 and we estimate that it increased back to between $6.23 and $6.33 net of common distributions per share at the end of April.During the first quarter, we issued 1.1 million shares of common stock via our ATM program for net proceeds of 16.3 million and that allowed us to capture about $0.15 per share in NAV premium through those sales during the first quarter.Also during the first quarter, we deployed 26.2 million of gross capital into new investments. Of the new CLO equity investments that they made, they had a weighted average effective yield of 47.4% at the time of investment with several made deep into the March lows in the market.During the first quarter, we received 14.6 million in proceeds from the sale of investment. And while it now seems like ages ago, we actually did reset one CLO and refinanced one CLO back in the first quarter. We do expect refi and reset activity to be muted for the foreseeable future.Overall, we believe we were well positioned going into the cycle. We’ve had cash to be on the offense, maintained compliance with our asset coverage ratio on all measurement dates and have over six years before a single dollar of our debt is due to be repaid.After Ken's remarks, I’ll walk you through the current state of the corporate loan and CLO markets and then provide some further insight into where we think we’ll be transpiring over the balance of 2020.I’ll now turn the call over to Ken.
Ken Onorio: Thanks, Tom. For the first quarter of 2020, the company recorded net investment income and realized capital losses of approximately 9.6 million or $0.33 per common share. This compares to net investment income and realized capital losses of $0.23 per common share in the fourth quarter of 2019 and net investment income and realized capital gains of $0.36 per common share in the first quarter of 2019.The company's net investment income and realized capital losses for the first quarter consisted of net investment income of $0.36 per common share offset by $0.03 of realized capital losses. When unrealized portfolio depreciation is included, the company recorded a GAAP net loss of approximately $131 million or $4.42 per common share.This compares to a GAAP net loss of $0.47 per common share in the fourth quarter of 2019 and GAAP net income of $1.93 per common share in the first quarter of 2019. Just a reminder that our short-term cash flow generation is largely unaffected by the unrealized appreciation or depreciation we record at the end of each quarter.The company's first quarter GAAP net loss was comprised of total investment income of 17.7 million which was more than offset by unrealized mark-to-market losses of 140.2 million, realized capital losses of 1 million and net expenses of 7.1 million.At the beginning of the first quarter, the company held 10 million of cash net of pending investment transactions and the scheduled redemption of the ECCA preferred stock. As of March 31, available cash was 23 million.In the second quarter, as of May 14, we deployed an additional 7.2 million of gross capital into new investments. As of March 31, the company's net asset value was approximately 183 million or $6.12 per common share.Each month, we publish on our Web site an unaudited management estimate of the company's monthly NAV as well as quarterly net investment income and realized capital gains or losses. Management's unaudited estimate of the range of the company's NAV as of April 30 was between $6.23 and $6.33 per common share.The company’s asset coverage ratios as of March 31 for preferred stock and debt calculated pursuant to Investment Company Act requirements were 220% and 330%, respectively. These measures are above the statutory minimum requirements of 200% and 300%, respectively.As of March 31, the company had debt and preferred securities outstanding totaling approximately 45.5% of the company’s total assets less current liabilities which is outside our range of generally operating the company with leverage between 25% and 35% of total assets under normal market conditions. Being outside of our range is principally due to the drawdown in asset prices at quarter end.Thanks to our strong liquidity position in the second half of March, we capitalized on our BB bonds trading at low prices. In addition to making attractive CLO investments, we also capitalized on market dislocation by repurchasing 4.8 million of ECC’s debt securities on the open market at an average price $0.72 on the dollar.Moving on to our portfolio activity in the second quarter. As of May 14, the company received recurring cash flows on its investment portfolio of 20.1 million or $0.67 per common share. This compares to 26.7 million or $0.90 per common share received during the full first quarter of 2020.Consistent with prior periods, we want to highlight some of our investments that are expected to make payments later in the quarter. A reduction quarter-on-quarter was primarily due to approximately 8% of our equity portfolio trapping payments as a result of OC tests.During the first quarter, we paid three monthly distributions of $0.20 per share of common stock as scheduled. On April 15, we declared monthly distributions of $0.08 per share of common stock for each of April, May and June with the scheduled April payment made on May 4. Earlier this week, we declared monthly common distributions for the third quarter in the same amount.In terms of our ATM issuance program, in the first quarter the company issued approximately 1.1 million shares of its common stock at a premium to NAV for total net proceeds to the company of approximately 16.3 million which resulted in NAV accretion of approximately $0.15 per common share. On January 31, the company redeemed all of the outstanding shares of its ECCA preferred stock.I will now turn the call back to Tom.
Tom Majewski: Thanks, Ken. Let me take you through where the macro loan and CLO markets currently stand and then I’ll touch a little bit on our recent portfolio activity for everyone. Credit Suisse Leveraged Loan Index saw first quarter decline of over 13% which was easily the worst performance since late 2008 note.Notably, the total return for senior secured loans fell more than the S&P 500 did in March, if not often that senior secured credit in some cases to companies that are components of the S&P 500 fell more than the value of the common stock. In April, the Loan Index saw a bit of a rebound moving up about 4% and that slow upward grind has continued through much of May.Retail loan outflows were muted in the first two months of 2020, but then increased to 13 billion in March, the largest output we have seen since December 2018. In April, we also saw loan outflows of a little over $3 billion. No loan in the JPMorgan Loan Index is currently trading above par.And according to S&P, 63% of the loan market is trading below 90 and 24% below market is trading below 80. Having so many loans trading below 90 is very important as it allows our CLOs to continue to reinvest and build par through buying loans at attractively discounted prices.On a look through basis, the weighted average spread in our portfolio reduced from 361 basis points in December to 357 basis points at the end of March, and moved down slightly further to 356 basis points at the end of April. The decline in many cases was due to CLO collateral managers selling what they considered to be higher risk loans and moving into lower risk loans, though typically at discounted prices.The total amount of institutional corporate loans outstanding remained essentially unchanged from the end of 2019 with about 1.2 trillion of loans outstanding as of March 31. While the 12 months lagging default rate moved up to 1.84% according to S&P Capital IQ at the end of March, it moved up further to 2.32% at the end of April. Many of the defaults in April, as I mentioned earlier, were companies that were long expected to default but those defaults were brought to a head with the economic slowdown.While the default remains below the historic average for now, in this economic environment we expect to see further increases in defaults in the coming months. The projections as of now from many research desks anticipate default between 5% and 10% during 2020.Our default exposure as of March 31 stood at 1.01%. While defaults are expected to rise, we believe the corporate default rate will remain lower than it otherwise would frankly had loans figured financial maintenance covenants in that payment to default are the principal driver of default in companies, not technical footfalls.We believe the company – Eagle Point Credit Company and the vast majority of our investments are well positioned to go on the offense to take advantage of discounted loan prices given the benefit of the long-term locked in place, non-mark-to-market financing inherent in our CLOs and the company's long-term balance sheet.As of April 30, our company's weighted average junior OC cushion was about 2% and that's down from 3.47% at quarter end and principally reflects the impact of downgrades of loans by the rating agencies. That said, many of our largest holdings have significantly greater OC cushion than that average.Based on market value, only a single-digit percentage of our portfolio diverted equity payments in April. Of those that were newly deferred, most were concentrated in two collateral managers, frankly, which we can see from our quarterly portfolio report typically run amongst the highest spread portfolios.To sum up, we acted quickly and decisively to manage our portfolio in March and April capitalizing of the dislocation, both through making new investments and opportunistically repurchasing our debt at distressed prices.As of May 14, we have 35 million of dry powder available as we continue to look for attractive opportunities. Our balance sheet is very strong and we have no debt maturities in the next six years. And the long-term locked in place non-mark-to-market financing is the key advantage of our CLOs which we consider to be unappreciated by many.Our advisor has deep experience. We’ve been through cycles like this before and we believe our portfolio of management will also be a key advantage for the company going forward. While we remain cautious in the near term on the overall macro environment, we know how CLOs have performed historically. Many consider 2006 and 2007 to be some of the best vintages of the CLO 1.0 era. If today’s CLOs perform even half as well as the 1.0 set did, we believe this will be a very attractive outcome.We also highlight before we open for questions, at 11.30 today we have a separate call for Eagle Point Income Company that is an affiliated vehicle also managed by Eagle Point which principally focuses on BB securities. That call will begin at 11.30 today and we do hope many people from this call will be able to join that call.With that, we thank you for your time and interest in Eagle Point. Ken and I will now open the call to your questions. Operator?
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from Chris Kotowski with Oppenheimer. Please proceed with your question.
Chris Kotowski: Good morning. Hope you’re well. I was wondering, can you run us through the mechanics of the junior OC cushion tests? And then you were going a little fast, I missed where you said it was at the most recent date --
Tom Majewski: Sure.
Chris Kotowski: Hello?
Tom Majewski: Can you hear us okay, Chris?
Chris Kotowski: Yes.
Tom Majewski: Perfect. So there’s a couple of things in there. First, as of the April trustee reports, our weighted average cushion was 2% across the portfolio although that’s obviously an average and there’s a dispersion. Some CLOs have negative OC cushion at this point and others have meaningfully more cushion. In general, the newer deals which are typically bigger holdings will often have more cushion and older deals which are largely decayed in value will typically have less, although it can vary. In our investor presentation, we’ve published deal-by-deal OC cushion levels. So you can see it for each position in our portfolio. The way the test is calculated, there is a numerator and a denominator and that ratio needs to exceed a certain amount and that amount can be – it varies on a deal-by-deal basis. And what we look at when we’re evaluating an investment is what is the result of that ratio versus what is the minimum test level? So when we talk about the cushion, that’s the difference between what the actual calculation is and what the required threshold is. So to put it simply, a CLO may have a 104 OC test, an actual requirement, and if we had 2% cushion that would suggest the OC test where we stand is at 106. And then to kind of look at how that 106 is calculated, that is at a high level is the ratio of the par of assets in a portfolio with a few adjustments, which I’ll come back to, over the par of the CLO liability. And to the extent that ratio exceeds 104, the equity can continue to get paid. Now where the devil in the details comes in is in the adjustments to the numerator. And there are a couple of things that become adjustments to the numerator. In general, the numerator is par amount of all the loans in the CLO. The adjustments to it are if we have 50 loans in excess of 7.5%, the lowest price CCC loans – let’s say we have 8.5% CCC, let’s just pick that, you would take a haircut to the numerator equal to the price discount from par of your lowest price CCC rated loans. So in my 8.5% CCCs, let’s say you had a 1% CCC loan that was trading at $0.40 on the dollar, you'd have to take a 60 basis point or 60% haircut on that loan for looking at your numerator.
Chris Kotowski: Okay.
Tom Majewski: Although [indiscernible] if you have defaulted loans, those are carried effectively at market value for the numerator. So if you bought a loan at 100, it’s defaulted and trading at 30, you'd have to take a 70% haircut on something like that. Now any loans – it also reflects the cumulative realized gains and losses in the portfolio, that if a year ago the CLO manager bought a loan at 95 and it paid off at par that inures to the benefit permanently of the OC test, that money is trapped in the system. Similar, if they sold the loan historically at a loss, bought something at par and sold it for 95, that would permanently reduce the numerator. And then finally, the last variable on this is very important is any loan purchased at 80 or above counts as 100 in the OC numerator. So if a collateral manager – and this is why I highlighted the percentage of loans in the market trading below 90, which is quite significant, if you buy a performing loan at $0.85 on the dollar, that immediately counts as 100 cents on the dollar in your OC test even if it trades down further unless it defaults or becomes CCC rated, your assets will continue – that asset would continue to be counted as par.
Chris Kotowski: Okay, that’s very helpful. And you said at the end of April the average was 2%, but can you say how many were – what percentage of your CLOs were trading – have failed their OC cushion test beyond the total?
Tom Majewski: On a market value basis, it was 8% as of payment date or is that as of April 10, I forget?
Ken Onorio: A fair value as of March.
Tom Majewski: Got it, okay. So most CLOs made quarterly payments in April, the vast majority of our portfolio. And of those, based on market value, 8% were failing the test.
Ken Onorio: That’s at the end of March.
Tom Majewski: The test is determined at a random day, determined in the CLO documents in April typically between April 5 and April 15. CLOs only publish per monthly updates, so we’re only beginning to get those updates now for where they stand right now. So we have just roughly across our portfolio of mid-April data and that point it was 8% on a market value basis failing 92% on sides.
Chris Kotowski: And I don’t suppose there’s any way to estimate or guesstimate where the average OC cushion or the percentage failing would stand at let’s say end of May or June?
Tom Majewski: Eventually. So we have partial information and part of our proprietary system lets us look through each CLO and models forward, okay, we know the portfolio let’s say as of April 15, we haven’t gotten the new report yet. But of the loans they owned on April 15, assuming the collateral manager doesn’t buy or sell anything, we actually do have a way to evaluate what it looks like today. However, what we don’t know is what the CLO collateral manager may have done with the portfolio in the interim. So we have a guesstimated live – we call it a live number. We don’t publish it though because it’s based on incomplete information and frankly it could be misleading and that a CLO manager may have sold five loans that have been subsequently downgraded to CCC. So we use it for trading as a bit of a roadmap, but it’s not – you have to apply some judgment as well. It’s not definitive.
Chris Kotowski: And presumably all that was taken into consideration on setting the distribution to $0.08 per month?
Tom Majewski: Yes. There’s a collage of factors that were considered, both the cash flow generation on the portfolio, the likely taxable income within the company, GAAP earnings and then one of the things driving the cash flow of course is what are the OC cushions. To the extent that they fall, you would obviously see less and less cash flow off of certain investments.
Chris Kotowski: Okay. That’s it from me. Thank you.
Tom Majewski: Great. Thank you very much.
Operator: Our next question comes from Mickey Schleien with Ladenburg. Please proceed with your question.
Mickey Schleien: Good morning.
Tom Majewski: Good morning, Mickey.
Mickey Schleien: Hi. Can you hear me?
Tom Majewski: We can, yes.
Mickey Schleien: Good morning, Tom and Ken. I’m glad to hear you’re doing all well. I have a lot of questions, Tom, so please be patient and bear with me, but given this extreme volatility we’re getting a lot of calls and questions and trying to put ourselves in the best position to answer them. So just going back to the $20 million of cash that you mentioned you received in April and through sort of mid-May, as you noted, CLOs tend to pay in the first month of the quarter. So was it extremely frontend loaded? In other words, of that 20 million, how much was in April alone? And was there a meaningful return of capital from call deals in that 20 million?
Tom Majewski: Very good questions. And Ken, correct me if I’m wrong, that was just the recurring cash flow number, the 20.1?
Ken Onorio: Yes, that’s correct. That was excluding proceeds from call deals.
Mickey Schleien: Does it include any outsized inaugural payments on new deals?
Tom Majewski: I believe it included one.
Mickey Schleien: Just one, okay. Because my understanding is the inaugural payment can sometimes be outsized as you sort of catch up, correct?
Tom Majewski: You are correct, yes. Looking here I think that included just one inaugural payment if memory serves. And so if you look back to historic quarters, you’ll see the significant majority, perhaps 90% of our investments. When we give a mid quarter cash number and then if you were to reconcile that to the end of quarter cash number, roughly 90% may be a little more or little less is already received by the time we do this call. So that 20 plus number is the vast – consistently would have been and we expect for this period the vast majority of the cash that will be received. That’s just from recurring cash flows. I don’t actually think we have any active liquidating calls right now. We have a few legacy calls that maybe the last few pieces haven’t been realized. Today it’s certainly not – you wouldn’t be expecting to call CLOs at this point. We did have one call in Q1 of 2020, but that was the only biggie. So when you look back to, we had 28.7 million of total cash from the first quarter, just shy of 3 million of that was related to a calls deal. So that puts us around 25 million of run rate cash. And if we’re down to a little over 20.5 or something at this point, the difference between those two is the combination of a little bit of lower LIBOR flowing through and then recognizing that a handful of formerly high cash paying deals did not make payments.
Mickey Schleien: I understand. Tom, you made some remarks about the new level of the dividend. I just wanted to follow up on that. So when the Board set this new dividend, did they look for a level which they believe the company can earn on a taxable income basis even during the current downturn? There’s no doubt we’re in a recession right now. We’re probably going to be negative also in the third quarter. Beyond that, I have no idea. Or did this new dividend take a longer-term view with some sort of rebound assumption down the road?
Tom Majewski: There were so many different factors that went into it. In general, it was a collage of cash flow, taxable income and GAAP earnings that the Board factored in as well as the desire to husband a little bit of cash, shall we say, within the vehicle. I think that was also considered in terms of building up a little bit more of a war chest, not that we don’t have a good amount of cash where we stand. But rather having a little more than a little less in that while prices have moved up a little since March month end to the extent which you talk about plays out of a recession continuing for another quarter or so, we think there’s a reasonable chance we’ll see some very attractive opportunities in the future.
Mickey Schleien: Okay, I understand.
Tom Majewski: All of those things considered.
Mickey Schleien: Tom, in terms of the CLO equity market, how wide are bid-ask spreads currently in that market?
Tom Majewski: So that’s a tricky one to answer right now --
Mickey Schleien: Yes, that’s why --
Tom Majewski: Yes, good question. So sellers obviously think their bonds are worth boatload and buyers want to pay pennies on the dollar. The right answer is probably somewhere in between. The amount of secondary trading has begun to increase and this is consistent with how we’ve seen things in past shocks to the market where volume largely slows up for a period of time. And then kind of until late – we had bought one majority piece in late March at less than $0.25 on the dollar. We’ve continued to make investments of majority and minority investments into this quarter. The way securities – so compared to the loan market, for example, where JPMorgan or Bank of America will send out a run sheet where they’ll say, we’ll buy this loan at X and we’ll sell you this loan at Y and that bid-ask might be 1, 2, 3 or 4 points depending on the day of the week and the loan. Right now, dealers are not making two-way markets on CLOs. So the way the securities transact, they are either BWICs. For example, there’s a BWIC today with four or five pieces of CLO equity on it, minority pieces, just through – this is live price talk between the low 20s on one security to low 40s on another, obviously who knows where they’ll trade. But what happens is that’s a customer saying, I’d like to sell these securities and investors put in, yes, we’ll bid you this price for those securities. And then you pay the dealer a small commission, maybe an eighth or a quarter or something like that. But so there’s not – like on BBs, you can see offer sheets or runs where there’s a two-way market and those might be in some cases 3 points today. Equity, there’s not a published two-way market. So when transactions ultimately occur, there’s very little friction but there is a natural – no one want to part – very few people want to part with securities at these prices, some people want to buy them, including us, although the good fact in all of this is and we saw this in late March and we are hopeful to see this again in late June of forced selling from motivated sellers. In late March, we saw some people running BWICs for junior CLO securities which were same-day BWICs or T+0 settlement, meaning you had to send the money in today. That’s usually not a sign of strength for those sellers and as those people are getting close to either margin calls or client redemptions if you’re in an open-end vehicle, there could be an increased amount of that in June as well this year. So not a perfect answer. I can’t tell you there’s a 5-point bid-ask, a 10-point bid-ask. There’s not really a published market at this point, but there is a lot of volume but it is customer to customer volume.
Mickey Schleien: And to follow up on that, Tom, towards the end of your – I think it’s actually in the last page in your presentation, you have this liquidity chart. Of the 15 billion in trading for the first quarter in the non-investment grade tranche, that would be obviously the BBs, any Bs and the equity, was there any meaningful equity within that 15 billion being traded?
Tom Majewski: Definitely. The majority of that 15 billion would be BBs, but a nontrivial amount would be equity.
Mickey Schleien: Okay. So I guess it’s fair to say that the CLO equity is – it’s very fragmented at the moment in terms of wide bid-ask spreads and inconsistent volume and et cetera. So if the market in CLO equity is disjointed, how are you approaching your mark-to-market valuation? And in particular, can you walk us through the change? I was surprised that the effective yields in most of your portfolio climbed very meaningfully from December to March. So can you walk us through valuation thesis and how effective yields went up?
Tom Majewski: Sure. So there’s two separate questions there. Valuation first off, our valuation process has stayed unchanged as it has since we’ve gone public and even prior to that frankly, which involves multiple – our traders putting a mark on things, multiple dealer nonbinding indicative bids on a security and then a paid valuation from a third party independent valuation firm. That process has continued without exception and is unchanged. As volumes thin, you have less and less – you have fewer and fewer data points to point to, but you have greater than zero volume. So when we’re valuing securities at quarter end or even for our management estimate at April month end, we are looking to the data points in the market to see where different types of securities have traded. If you look through our March marks, you’ll see some stuff as marked at less than $0.10 on the dollar. The highest priced securities probably are over $0.50 on the dollar with an average in the $0.20 or $0.30 on the dollar versus par. Like you’ll see there’s a very, very wide dispersion across the securities but there’s a rationale to all of that, in that if you have a CLO that’s past the end of its reinvesting period and perhaps may have even been failing its OC test before COVID, nearly very likely that security is marked in pennies on the dollar, so $0.10. There may be some exceptions, but by and large you’d look at that at this point as really just option value. It’s probably a 2014 vintage deal that had a lot of energy pain. And just as its reinvestment period is ending is now facing yet another difficult cycle. At the flipside, a lightly seasoned 2019 vintage deal that we did in seemingly rosier days of 2019, say November of 2019, a deal like that is going to be valued quite keenly relative to our average, in many cases this 40s, 50s and in some cases we’ve seen things trade in the 60s lately and that’s reflecting that those deals have 4.5 years left of reinvestment period with AAA locked in on the eve of the crisis. So the market’s putting a very high value on those. We’ve seen all of those types trade and while there’s – each trade is not visible on trace, being deeply ingrained market participants even if it’s a security we’re not buying or selling, we’re going to have – usually have pretty good color of where things are trading. I think if you line up our marks versus other public reporters, at least a handful of other public reporters, maybe not everyone, I think in general you’ll see valuations pretty consistent for the various types of securities. And as to effective yield, the – what played out there, the effective yield is based on where the amortized cost is and what our outlook for the future cash flow on a security may be. And certainly we have refreshed our assumptions periodically as we’ve done through five-plus years. And not trying to typically move – spreads are wider 5 basis points or 10 basis points, these are long-term investments. However, when there’s a fundamental shift in the world which unambiguously happened in the first quarter, as we looked to determine our yields, we refreshed both the weighted average purchase price in the near term for reinvestments, the default rates, and the reinvestment spreads. And the collage of all of that actually improved the yield outlook on the – the effective yield outlook on the portfolio in the first quarter. While that maybe seemed counterintuitive when we’re talking about when we said and we think defaults will be higher and many in the market think defaults will be higher, the flipside of that of course is companies are – CLOs are able to reinvest at cheaper and cheaper prices than we ever contemplated previously. And with a significant percentage of the market trading below 90, to the extent you can buy those loans very attractively, every loan that doesn’t default ultimately pays off at par, the reinvestment option actually got a lot better in our view even though the default rate outlook simply went up. This is reasonably in line with history and one of the things that you can find a lot of market research on this that shows that 2007 vintage of CLOs was typically the best vintage with a median return according to some research we’ve seen in the high teens versus 2003 vintage with the median return at the low-mid single digits. So we’re seeing that come through in both the valuations, slightly seasoned stuff is worth more, stuff at end of life is worth a lot less and then yields on securities what we saw was going into credit cycles, those with the longest runways ultimately had the best return. So the ability to keep reinvesting for a longer period of time in today’s discounted prices is in many cases going to help the yield on a likely seasoned CLO security in particular.
Mickey Schleien: I understand. That’s very helpful color. Tom, what’s your view on the potential impact of the Fed’s term asset-backed loan facility on – the impact on the ability to use CLO debt as collateral?
Tom Majewski: While a lot of the efforts in Washington and we think they’ve certainly taken bold and decisive actions, in some cases maybe some familiar muscle memory from 10 or 12 years ago helping guide things and they provided ebullience to the equity markets and investment grade corporate markets, the way CLOs – I guess there’s just two areas of interest where we’ve crossed paths or maybe three – a third where we didn’t. So the PDCF or Primary Dealer Credit Facility, that’s great. We can – this was only open to dealers who have access to the Fed window. CLOs, AAAs can be deposited there at I think 25 basis points financing rate or something like that, very, very attractive and that’s financing only available to dealers. The flipside, while the Fed has begun buying ETFs and particularly with fallen angels and certainly investment grade, they have not begun to my knowledge a meaningful investment in the corporate loan market. That said, they’re buying a corporate bond, so it’s probably helped avoid some of the value of loans in CLOs. The most notable thing that’s gotten a lot of attention but in my view largely misses the mark, although we certainly appreciate the effort and are working with trade groups to try and improve the program, health as it relates to CLOs or the term asset-backed loan facility with less investors take different types of AAA rated securitizations and get the medium term non-mark-to-market financing from the Fed, largely misses the mark for CLOs among the number of requirements that we find of highly problematic and unattractive are that the CLOs need to be static pools and that there’s no ability to sell credit risk assets out of the vehicle except if a sponsor buys them out at par unless the loan itself actually defaults. And we’ve done so far as to say broadly we think if all CLO 1.0 were static pools set up the way, laid out in this term sheet – in the TALF term sheet, there would not be a CLO 2.0 market today and that’s the ability to continue to reinvest was the saving grace and in fact the thing that helps CLOs drive. So while we’re pleased to see at least some consideration of CLOs in the program, I think we and many in the market expect it will have very, very little take up in today’s market conditions.
Mickey Schleien: Okay, that’s really consistent with what I read. Just a couple more questions and I do appreciate your patience. American Airlines is well known as a large leverage loan issuer and represents a meaningful amount of exposure amongst CLO collateral. And the jury’s out as to what’s going to happen obviously, very difficult times. My question is, is there significant exposure within CLO collateral to other airlines that we should be aware of?
Tom Majewski: Sure. And if you look at our portfolio update on Page 31 of the investor deck, you’ll see we have roughly 70 basis points exposure to American Airlines, so it’s a top 10 exposure for us. The other major airline that came out actually, Delta, did a deal in I think it was April or early May, some point in the last few weeks, which has certainly percolated into the CLO market. And then when we look at a credit like this, there have been times over the past few weeks and months where the equity options market is pricing a one-third probability of default on American this year. I don’t know whether CDS is trading at present, but I struggle to see it not with points upfront significantly. And by and large if the airline industry is built for capacity at 100 and right now they’re running at 10% capacity while they can ground planes and the government has certainly got a long way to bridge them seeing certainly a United Chairman saying the other day, he struggles to see volume returning anywhere near to normal in the next year or two. What makes this loan interesting and the Delta loan that came into the market and did do reasonable well is the collateral. So while essentially all of our loans are senior secured and have a blanket pledge of all of the company’s assets, the American loan and there may be a few different tranches with different collateral packages, so I’ll speak in generality here, and the recent Delta Airlines’ loan have some very interesting collateral. Some of the American tranches are outstanding and the new Delta loan have pledged its collateral on both of their cases, their slots and gates at National and LaGuardia. You could say, I don’t know who, what airline is going to be flying people there but at the same time when people are going to fly, those are certainly going to be airports that people are going to be flying to. The Delta loan also included their Heathrow rights as well as several other very valuable transatlantic routes. In fairness, there are some questions on the Port Authority in the leases, Port Authority in New York and New Jersey at a minimum has very, very strong rights and can – some have raised question as to their true ownership and ability to pledge such assets. I’m unaware of the situation where the port has taken away someone’s rights. I could also say they’re not building anymore real estate, but in fact they are building more gates at LaGuardia right now. But over time if I could have collateral of airplanes or gates and landing rights, I would take this those all day long. The American loan is actually trading reasonably high today. Let me see if I can pull up an exact quote. Last I saw it was trading at a surprisingly high level considering the industry, but there it’s attributable to the collateral.
Mickey Schleien: That’s really helpful. My last question, Tom, and you touched on some of this in that the Eagle portfolio update showed the CCC bucket now above 10%, the junior OC cushion down to 2. I’ve read reports indicating that in April, somewhere between 10% and maybe 15% of CLOs are now failing their junior OC tests and we still have the overhang of the B minus bucket which in your portfolio is 23% and the ratings agencies are obviously strongly biased downward in the current environment because they don’t want to stay ahead of the curve. So in the financial crisis, and I’m the first to admit that the financial crisis and the COVID crisis have a lot of differences, but the median CLO equity cash flow yield declined from over 20%, which is above where we were pre-COVID to about mid-single digits before they started to recuperate, so I’m talking sort of the '08, '09 period. With what is going on in the market now, is there any reason to believe that CLO equity cash flows won’t repeat that pattern?
Tom Majewski: I can’t say I’m familiar with the data you’re citing. Is that market wide or is that yield by yield specific?
Mickey Schleien: That’s information from a large institutional investor and it’s market wide.
Tom Majewski: Got it. What that largely flips with – according to data from Wells Fargo and consistent with my general recollection, roughly 55% of CLOs missed payment to the equity in '08 and '09 which also suggest 45% never missed a payment. And judgmentally, those that missed typically missed one or two payments. There were a relatively small number of prolonged payments. But if you took that ratio 55-45 and apply that to roughly $0.20 or 20% distributions, that could perhaps be what gets to that 8% or 9% distribution. CLOs either pay or they don’t or I guess they can also trip their diversion test which would take some payments in we use to buy collateral. So I guess there’s three stages of payment of CLO equity; payment in full, full pick and a partial pick. For CLOs that are on size with all their tests, I would expect a significant change in cash flows in general. The other thing that factored in to the data that I suspect your – whoever that investor is looked at, LIBOR did go from 6% to close to 0% over that timeframe. Here we’ve been starting at a very low LIBOR rate to begin with. So while LIBOR had been creeping up, it had a lot less to fall than it did back then. But as you look across our portfolios and you can see again quarter-by-quarter cash flow – let me just look at the specific page of our investor presentation. On Page 26, this is comparing Q4 to Q1 and you’ll see similar things based on an aggregate level for what we described in Q2. You can see that cash difference is between the periods in many cases went down somewhat, but not heavily. In general, cash went down a little on performing investments across the CLO market in April versus the prior period for those that paid, but a lot of that was simply due to change in LIBOR. The impact – to just kind of frame this, so let’s just make a very bold example. Let’s say a CLO has $100 of loans, $90 of CLO debt and $10 of equity and a 1% loan default and recovers 0, just looking at the extreme example, it actually has very little impact on the ongoing cash flows and a much greater impact on the terminal payment. And so let’s just say that $100 of loans was generating interest at 5%, so CLO has $5 of income coming in. And let’s say the $90 of CLO debt gets paid 2%, so they get a $1.80 going out and that would be in that case $3.20 of income for the equity against $10 of equity capital. Now if we have one loan default, recovers zero and just never pay a dollar again, instead of getting $5 then on an ongoing basis, you’re getting $4.95. Though the equity in my prior example which was getting $3.20 is now getting $3.15 on an ongoing basis. So the impact of defaults on current cash flows and equity assuming they’re passing the OC test is actually very modest. The real pain itself is the end of life, holding all else equal, instead of getting $10 back, you only get $9 back.
Mickey Schleien: Understand and that’s helpful, Tom. Those are all my questions. I appreciate your patience and I hope everyone there stays safe and healthy. Thank you.
Tom Majewski: Thanks so much, Mickey. I appreciate your time and questions.
Operator: Our next question comes from Paul Johnson with KBW. Please proceed with your question.
Paul Johnson: Good morning, guys. Thanks for taking my questions. It’s been a long call and there’s obviously a lot of questions asked, so I’ll just keep mine very brief. I was just wondering about the level of the ATM issuance quarter-to-date this quarter, there’s been a little bit of activity. What is the plan going forward? Are you still comfortable with issuing shares down at a more depressed share price level, albeit still above NAV, of course, today and deploying to the market or do you expect it to be a little bit more reduced level compared to previous quarters?
Tom Majewski: Sure. So I think we announced a small amount of share issuance in the second quarter in the press release. Am I right, Ken?
Ken Onorio: Yes. That would be in the subsequent events.
Tom Majewski: Yes, so about a trivial amount, I don’t even think it was $1 million. So for the first time I think ever since we’ve done one of these calls, the stock is at a discount. We’ve been fortunate and since the time of IPO, we’ve largely been at a double digit premium, some cases quite high. I’m just looking on Bloomberg right now, it’s the delayed quote showing 5.94 against the management estimate in the low 6s. So at present, we certainly do not issue stock at discounts under the ATM. So right now, it would be safe to assume that if the price is below discount, we’re not actively – if price is below the NAV, we’re not actively issuing. Against that our board approach to the ATM is a collage of factors and we’ve shared this and this is unchanged. When we’re looking at, should we issue one share today, yes or no, we’re evaluating is it obviously accretive if we’re selling at a 25% premium to NAV, that’s accretive and we thought that that’s picking up about $0.15 per NAV percent per share of NAV gain in the first quarter from premium issuance, so that much good. And then we look at what is our overall weighted average cost of capital within the complex. It’s not just – we kind of in theory could grow everything, the baby bonds and the preferred and the common all nice and evenly. That’s a theoretic approach, not an actual approach. But we do look at a blended cost of capital. And then we look at if we were to sell that proverbial one share today and we invest it in the near to medium term at a level that’s accretive to the ongoing earnings of the company versus the distributions to the common shareholders. Certainly at today’s distribution rate in general, I think we could comfortably do that, but we could debate however the timing of that. We do have a nontrivial amount of cash on the balance sheet. We’ve always thought to run the company with a handful degree of liquidity. We don’t have any unfunded revolvers or delayed draw term loans or a lot of things other – we’re not a BDC, but a lot of BDCs face a lot of those challenges that we don’t have. And frankly having cash on our balance sheet when we saw – when all the baby bonds dipped in late March, Ken and I looked at each other like this stuff is $0.70 on the dollar, let’s just go do it. We established an offense move. So we’ll look across the capital structure. We’ll use the ATM when we think it’s unambiguously accretive to the common stockholders and the company in the long term. But today, the math would suggest we are on the sidelines at the present.
Paul Johnson: Sure. Okay. I appreciate that. That was a very good move for shareholders to buy some debt back at a discount. And then I guess on the leverage, you’re obviously above the target leverage range due to the depreciation this quarter. I know you said that your comfortable operating outside of this range, the 25% to 35% debt to assets. But what is the plan I guess going forward? Is it to try to continue focusing on deleveraging slightly, maybe doing something like what you did in the last quarter with repurchasing some of your debt, with any sort of cash payments that you receive and preserving liquidity or is it more to continuing focusing on deploying into what you would consider really good markets to invest in?
Tom Majewski: Much more on the offense versus defense across the spectrum. We haven’t put out any guidance on it. History has shown if we could buy our baby bonds with $0.70 on the dollar, at least historically we’ve been a buyer. Depends whatever is going on in the world. The price of CLO securities obviously could move around. Obviously October was a significant down month in the market. April, you can see our NAV went up and up month in the market. We set the 25% to 35% band with a long-term view knowing things like this can happen with a collage of using the ATM when it’s accretive. We’ve shown a willingness to buy back our baby bonds when that’s attractive to do. And we’ll also look at the change in the price with our securities which frankly have all the things here to be the biggest driver of our leverage ratio. Very possible CLO equity could be up 10%, typically be down 10% in the next month. So as we look forward, it’s kind of balancing our collage of all those that – we try and have as many tools in the arsenal as possible to do it. I don’t think there’s any one particular thing we’ll do frankly, but we want the full menu available to us. And I think we’ve shown we’ve used them pretty prudently over the years.
Paul Johnson: Okay. Thanks for that. And then in your outstanding bonds, are there any debt covenants or debt limitations that you guys are approaching that we should be aware of?
Tom Majewski: So we have two types of securities outstanding, we have two series of baby bonds on the Xs and Ys and we have one series of preferred stock outstanding, the Bs. None of those are soluble at present, although there is a provision certainly in the baby bonds and maybe also in the preferred that at the extreme we can actually breach the non-call if we needed to buy to get back on size if we were off-sized on the asset coverage ratio plus building to a cushion as well. Beyond that, there is – all of that debt is unsecured. Obviously in the case of preferred stock, it’s – you can even defer payments if you need to and obviously that’s not our plan or intent, but we have – our total fixed debt service that we have to pay contractually each quarter is a little less than $2 million and that’s to the Xs and Ys on the preferred typing amount, although there is a deferral option if we ever needed it. So where we look, the balance sheet – when we talk with bankers and we’ve issued these things, we haven’t done anything less than 10 years I think since 2015. The bankers always say, you could get it done a quarter tighter if you do five-year paper. No. We’ve always throw it out there at 10 years. If we have to pay a quarter extra, we’ll do it and be able to say I have no debt maturities since six years. I don’t think there’s any of these [indiscernible] where they wouldn’t like to be able to say, I have no debt maturities for six years. So that in our view money well spent.
Paul Johnson: Thanks for that and I would agree. And then my last question, I know you touched on this a little bit during the call and given us all a very detailed crash course in CLOs and CLO accounting. But I was hoping that you could just maybe very briefly go over how the mechanism for building par works for a CLO security and if there’s any sort of limitations to that in terms of how much of a discount to be purchased or anything like that that would be important to know?
Tom Majewski: Sure. So the rough mechanic – let’s say a collateral manager owns a loan at 90 today and says, it’s a very good loan, but I see another one at 80, that’s also a really good loan. If that person sells the 90, he’s presumably taken a 10-point loss. But then he uses those proceeds and goes and buys the 80 one and then he has $0.10 left over in extra cash, assuming that’s a par like trade. His OC numerator went up by those 10 points that he just bought. He sold a loan at 90 and bought a loan at 80. The difference between 90 and 80 goes immediately to the OC numerator. So that at a high level is the raw math. You don’t have to do it on the same day. In many cases, we try and pair the trades together. But you could sell a loan 90 today, buy a different loan at 80 tomorrow and you achieve the same objective. Where it gets more interesting is if you buy a loan below 80, there what you get is what’s called purchase price credit and it counts as purchase price until it trades over 90 typically for a month. So the way this works is if you bought a loan at 70 or let’s just [indiscernible] American Airlines, like their unsecureds are trading in the 30s and 40s. Their term loans due in April of 2023 is quoted in the mid-70s today. Let’s say someone thought that loan was money good, it’s got that great collateral, so on and so forth. You could buy that loan and you would get purchase price credit for it until if you had $75 that just came in from a paydown, that’s par dollars that came in, you just buy this loan that’s offered at 74 today, you buy it at 74 and you get $0.74 on the dollar credit until such day it hopefully trades over 90 for a month and then jumps up to a 100. So you don’t get the full kick. I suspect if you look at many of the investment banks loan trading departments, they probably sell a lot of loans at 81 and probably don’t sell a lot of loans at 79 because of that magic number. But it is pretty straightforward math for the CLO managers to be able to manage. And what they’ve got to look at is these OC tests that we’re talking about, they really only matter four days of the year. So if you failed your OC test in April, something that happened which really never happened in my experience before of having a downgrade wave right into the determination base for many CLOs such that you could have gone home the day before the determination date, you were on size. You come in the next morning and oh, goodness, the rating agency has downgraded a bunch more of your loans. You thought you were passing the test, now here you are the next morning you’re failing. Can you trade your portfolio that day to get back on size? And frankly, some collateral managers did, others didn’t. But even if you didn’t, okay, now you’ve got until July to get yourself back on size. The bad news is you’ve probably got more downgrades coming at you, although the pace seems to be slowing. At the same time you’ve got 89 days of runway to get yourself back on size. Finally, in a number of our CLOs we’ve baked in something called a non-discounted swap. This is a deep in the leaves, kind of highly esoteric provision. And what this allows is let’s say a collateral manager bought a loan at 100 and it’s now trading at 74. He or she thinks that loan has more downside. What he could do is say, but I think this American loan is going to work out. Again, I’m not endorsing the American loan in any way, but I have the price on the screen. He could – and there’s a limitation as to how much typically 10% cumulative he could sell that one loan at 74 that he thinks is going down, redeploy that money into the American loan and as long as he flags it as a non-discounted swap linking the two trades, that 74 actually counts as 100. It’s a special designation collateral managers have to make and it’s something we work hard to bake – not all CLOs have that mechanics. We work hard to make sure most of our CLOs have that. So while that won’t make or break a CLO, it’s a nice helpful little tool to have in the arsenal.
Paul Johnson: That’s interesting and that’s very helpful estimation of how it works and obviously very relevant to the market today. But thanks for taking my questions. That’s all I have today.
Tom Majewski: Great. Thank you, Paul.
Operator: Our next question comes from Cullen Johnson with B. Riley. Please proceed with your question.
Cullen Johnson: Hi. Thanks for taking my question. I’ve got one quick one here on the value of the unsecured notes. So it looks like for the purpose of calculating the asset coverage ratios within the consolidated financial statements, the value is 94 million of the unsecured notes. But then looking at the balance sheet, it looks like it’s at 82.8 and I think most of these are as of 3/31. So just hoping you could help me reconcile the two numbers?
Ken Onorio: Sure. It’s Ken here. So for the notes, what we’re doing is we are – on the balance sheet obviously we’re taking our X notes at fair value because we elected to do the fair value option of accounting. So that number will be variable quarter-to-quarter based on current market conditions and they are obviously down from where they were in the previous quarter. For the asset coverage ratio, we’re taking a more conservative and consistent approach. With our other debt securities where we’re using the par value to determine the asset coverage which would set a higher standard in this case of comparing it to on a market value basis.
Cullen Johnson: Okay, yes, that makes sense. Thank you. I appreciate it.
Ken Onorio: Yes, sure.
Operator: We have reached the end of the question-and-answer session. At this time, I would like to turn the call back over to Thomas Majewski for closing comments.
Tom Majewski: Great. Thank you very much, everyone. I appreciate all the thoughtful questions. Obviously some very challenging times and a little bit of uncertain outlook for the economy and credit markets broadly as we look across our portfolio and the way the company is structured. Hopefully the themes you’ve heard from us are consistent with things you’ve heard from us over the years.Our balance sheet with ECC is set up in a way we want it to be in these difficult days and we have ample cash on our balance sheet. And while these are difficult times, we have cash to be able to use to buy securities when others need to sell, so we would continue to seek to be on the offense very selectively, using our capital very prudently in which is certainly going to be a challenging market over the coming weeks and months.We appreciate everyone’s time today. We are running late because of the EIC call which begins at 11.30, and we do hope people can join in there as well for some perspectives on the BB market and we welcome continuing dialogues if anyone would like. Thank you very much for your time and interest. I hope everyone is safe and well. And we look forward to talking again soon. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. And we thank you for your participation.